Operator: Good morning, everyone. My name is Bo, and I will be your conference operator this morning. At this time, I would like to welcome everyone to Veralto Corporation's Third Quarter 2025 Conference Call. [Operator Instructions]. I will now turn the call over to Mr. Ryan Taylor, Vice President of Investor Relations. Please go ahead, sir.
Ryan Taylor: Good morning, everyone, and thanks for joining us on the call. With me today are Jennifer Honeycutt, our President and Chief Executive Officer; and Sameer Ralhan, our Senior Vice President and Chief Financial Officer. Today's call is simultaneously being webcast. A replay of the webcast will be available on the Investors section of our website later today under the heading Events and Presentations. A replay of this call will also be available until November 7. Yesterday, we issued our third quarter 2025 news release, earnings presentation and supplemental materials, including information required by the SEC relating to adjusted or non-GAAP financial measures. These materials are available in the Investors section of our website, www.veralto.com under the heading Quarterly Earnings. Reconciliations of all non-GAAP measures are also provided in the appendix of the webcast slides. Unless otherwise noted, all references to variances are on a year-over-year basis. During the call, we will make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings. Actual results may differ materially from our forward-looking statements. These forward-looking statements speak only as of the date that they are made, and we do not assume any obligation to update any forward-looking statements, except as required by law. And with that, I'll turn the call over to Jennifer.
Jennifer Honeycutt: Thank you, Ryan, and thank you all for joining our third quarter earnings call today. During the third quarter, we continued to drive consistent growth through strong top line performance, disciplined operational execution and rigorous deployment of the Veralto Enterprise System. For both the third quarter and year-to-date, our team delivered mid-single-digit core sales growth, double-digit adjusted earnings per share growth and over 100% free cash flow conversion. These results underscore our ability to successfully navigate a dynamic macro environment, particularly with respect to changes in global trade policies. Our steady growth and improvement this year is a testament to our durable business model and the critical role our technologies and services play in supporting the daily operations of our customers. Given the strength of our third quarter results, we raised our full year adjusted earnings per share guidance to a range of $3.82 to $3.85 per share, and we raised our full year free cash flow conversion guidance to approximately 100%. Our financial position continues to strengthen, giving us ample flexibility to evaluate opportunities to deploy capital within our proven framework. Our capital allocation bias is towards acquisitions, and our pipeline of opportunities is comprised of a mosaic of attractive targets across both Water Quality and PQI. We continue to take a prudent approach to evaluating opportunities consistent with our disciplined market company valuation framework. I also want to highlight that during the quarter, we published our annual sustainability report. We have approached our commitment to sustainability with the same rigor and discipline that we apply to operating our businesses by leveraging our VES tools for continuous improvement to drive results. We have achieved significant milestones in developing innovative and sustainable products that not only meet the needs of our customers but also support the health of our environment. Our commitment to excellence in product design and functionality ensures that we contribute positively to the world we share. In 2024, our products and services helped provide daily access to clean water for 3.4 billion people, treat and recycle 14 trillion gallons of water, save 85 billion gallons of water and ensure product authenticity and safety by helping customers mark and code over 10 billion products each and every day. Additionally, we are making progress on reducing our own carbon footprint, an important commitment for many of our stakeholders. We are proud of the steps we are taking to support our environment and help our customers progress their sustainable journeys. The work we do helps customers deliver higher-quality products, accelerate time to market, minimize resource consumption and ensure compliance with relevant standards to improve overall operating efficiency. The essential need for our technology solutions, our durable business model and the secular growth drivers across our end markets fortified by the Veralto Enterprise System enable us to deliver long-term sustainable growth. The third quarter 2025 marked our fifth consecutive quarter of mid-single-digit core sales growth, consistent with our long-term value creation algorithm. I am proud of our global team for the steady growth and improvement we have achieved while embracing our purpose, a reflection of our high-performance culture. Looking at our third quarter results in detail. We delivered 5.1% core sales growth and 11% adjusted EPS growth. Our commercial teams continue to drive outstanding execution, leveraging their applications expertise to deliver growth through new customer wins and increased market penetration, while also capitalizing on steady demand across our key markets. Our core sales growth came in at the high end of our expectations and was broad-based across geographies in both segments. Water Quality delivered 5.3% core sales growth and PQI, 4.6% core sales growth. In PQI, our marking and coding business continued to see strong year-over-year core sales growth in both consumables and equipment. And in packaging and color, our Esko team continued to drive core sales growth by expanding software solutions in the mid-market CPG segment. In Water Quality, we delivered mid-single-digit growth across both water treatment and water analytics with particularly strong growth in North America. Moving on to margin performance. Adjusted operating profit margin came in at 23.9%, in line with our underlying guidance assumption. Adjusted earnings per share grew 11% year-over-year to $0.99, $0.04 above the high end of our guidance range. Looking at sales by geography and end market, growth was broad-based across key verticals and regions. In North America, which accounts for 50% of our business, core sales grew 6.9%, led by high single-digit growth in PQI and strong mid-single-digit growth in Water Quality. Core sales in high-growth markets were up 4.3%, and core sales into Western Europe grew 2.5%. Taking a closer look at North America, core sales in PQI grew 9.2% over the prior year period. This growth reflects strategic pricing adjustments related to tariffs that were implemented in the second quarter, along with higher volumes of marking and coding equipment-related consumables and Esko software solutions. From an end market perspective, demand trends in PQI were in line with our expectations during the third quarter. PQI's volume growth through the first 9 months this year has been strong relative to the market. This reflects the disciplined cross-functional execution and rigorous application of VES tools to deliver on our strategic initiatives. And overall, CPG demand was also in line with our expectations. At Water Quality, core sales in North America grew 6% year-over-year with broad-based growth across water treatment and water analytics. In our water treatment business, we continue to capitalize on strong demand for our chemical treatment solutions where core sales grew mid-single digits year-over-year. This growth was broad-based across most of the industrial markets we serve and was most pronounced in chemical processing and technology-related industries supporting artificial intelligence, including data centers. We are well positioned to capitalize on the rapid growth of infrastructure required to support AI growth. Our application expertise in water treatment is essential to helping deliver efficient water utilization and reduced energy consumption for hyperscalers and data center operators. We are also well positioned to capitalize on adjacent industries supporting AI growth such as semiconductors and power generation. In our water analytics business, core sales into North America grew mid-single digits with growth across both municipal and industrial verticals. Our water analytics growth was primarily driven by demand for our laboratory instrumentation and related chemistries. In Western Europe, core sales grew 2.5% with both segments up year-over-year. PQI grew 3.7%, driven by marking and coding and Water Quality grew 1.3%, driven by water analytics. In high-growth markets, core sales grew 4.3%, highlighted by strong growth in the Middle East, Latin America and India. Core sales into China grew low single digits in both segments. Overall, we continue to deliver consistent top and bottom line growth in the third quarter. At this time, I'll turn the call over to Sameer for a detailed review of our financial results and an update on our guidance.
Sameer Ralhan: Thanks, Jennifer, and good morning, everyone. I'll begin with our consolidated results for the third quarter. Total sales grew 6.9% on a year-over-year basis to $1.4 billion. Currency was 150 basis points or about a $20 million tailwind year-over-year. Acquisitions net of divestitures contributed 30 basis points of growth, primarily from TraceGains and AQUAFIDES. Core sales grew 5.1%, with both volume and price up year-over-year in both segments. Volume grew 2.7% year-over-year and price contributed 2.4% to core sales growth in the quarter. Recurring revenue grew high single digits year-over-year and comprised 62% of our total sales. Gross profit increased 8% year-over-year to $844 million. Gross profit margin expanded 50 basis points to 60.1%, reflecting the benefit of our strategic pricing actions and strong procurement and supply chain efforts related to the tariff environment. Adjusted operating profit increased 6% year-over-year and adjusted operating profit margin was 23.9%, in line with our expectations. Strong year-over-year margin expansion in our Water Quality segment in the quarter was offset by acquisition dilution, strategic growth investments and tariff mitigation costs at PQI. Additionally, corporate expenses were up year-over-year, reflecting our full run rate costs. Looking at EPS for Q3, adjusted earnings per share grew 11% year-over-year to $0.99 per share. As compared to our guidance, adjusted EPS came in $0.04 above the high end of our range. This was primarily driven by stronger volume growth in both segments, higher operating margin in our Water Quality segment and lower net interest expense. Our free cash flow generation was strong in the third quarter. We generated $258 million of free cash flow at 20% or $43 million increase year-over-year. I'll cover the segment results, starting with Water Quality on the next page. Sales in our Water Quality segment were $856 million, up 7% on a year-over-year basis. Currency was a 140 basis points tailwind, and acquisitions contributed 30 basis points of growth, driven by AQUAFIDES. Core sales grew 5.3% year-over-year. Higher volume drove 360 basis points of core sales growth and price contributed 170 basis points. Water Quality's volume growth was driven by strong demand for water analytics at municipalities and water treatment solutions in our industrial end markets. And to a lesser extent, we also saw growth in UV treatment installations. Water Quality's recurring sales grew high single digits year-over-year, and equipment sales were up more than 3% year-over-year. Adjusted operating profit increased 13% over the prior year period to $225 million, and adjusted operating profit margin was 26.3%, up 150 basis points versus the prior year. Overall, it was a very strong quarter for Water Quality, reflecting the attractive secular growth drivers in our end markets and the ability of our Water Quality team to create value through VES-driven execution. Moving to our PQI segment on the next page. Sales in our PQI segment grew 6.9% year-over-year to $548 million in the third quarter. Currency was a 200 basis points tailwind. Contribution from acquisitions was 30 basis points year-over-year, primarily driven by TraceGains. This was net of the AVT divestiture, which was completed in Q1 2025. Core sales grew 4.6%, with price contributing 3.3% growth, helping offset tariff-related cost increases. Volume contributed 1.3% to core sales growth. PQI's core sales growth was broad-based across most of our key end market verticals and geographies. Recurring revenue grew high single digits year-over-year, led by consumables and software. And equipment sales were up just over 3%, driven by sales of marking and coding equipment. We continue to see strong demand for Videojet's refreshed technology portfolio. Equipment sales were strong across continuous inkjet and laser technologies with particularly high customer demand for the UV laser marking system that we introduced at the end of last year. Our UV laser is an attractive alternative to thermal transfer overlay technology. Additionally, it is helping our customers transition to more sustainable, flexible film packaging solutions. From an acquisition perspective, core sales growth for TraceGains continued to exceed 20% year-over-year. We continue to invest in TraceGains to scale the business and further penetrate the CPG market to create long-term value. We believe the transition to digital connected workflows in the food and beverage industry is poised for strong growth over the next decade. The combination of Esko and TraceGains provides us a unique opportunity to deliver value to our consumer brands as they digitize workflows with connected data across product development, compliance and packaging. Looking at PQI's profitability for the third quarter, we reported $139 million of adjusted operating profit, resulting in adjusted operating profit margin of 25.4%. The year-over-year change in PQI's profitability reflects the impact from acquisitions, strategic growth investments and to a lesser extent, tariff mitigation costs. Specifically, we continue to enhance our manufacturing utility with new production lines in strategic locations to improve our ability to serve customers in every region. We are in the final stages of completing these product line shifts. Overall, we are pleased with the growth at PQI and progress on our strategic investments during the quarter. Turning now to our balance sheet and cash flow. In the third quarter, we generated $270 million of cash from operations. We invested $12 million in capital expenditures. As a result, free cash flow was $258 million for the quarter or 108% conversion of net income. At the end of the third quarter, gross debt was about $2.7 billion, and cash on hand was nearly $1.8 billion. Net debt was just under $900 million, resulting in net leverage of 0.7x. Our financial position is strong and provides us the flexibility in how we deploy capital to create long-term shareholder value. We will remain prudent and disciplined in our approach to capital allocation. Over the long term, our goal is to continue to create shareholder value with a bias towards M&A. As Jennifer mentioned, we have an attractive pipeline of opportunities in both Water Quality and PQI. Looking now at our guidance for the fourth quarter and full year. Our underlying assumptions have been updated to reflect our current view of demand in our end markets, our most recent assessment of trade policies and currency rates as of October 3. Beginning with sales. For the fourth quarter, we are targeting total sales growth in the mid-single digits year-over-year. On a sequential basis, we expect total sales to be roughly in line with the third quarter, even with fewer shipping days. This assumes a year-over-year currency benefit of approximately 3% and core sales growth in the low single digits. Core sales growth is expected to be negatively impacted by 3 fewer shipping days versus the prior year period. 3 fewer shipping days represent a little more than 2.5% impact on Q4 core sales versus the prior year period. For the full year 2025, our assumption for core sales growth remains mid-single digits for the total company. This assumes approximately 5% core sales growth in each segment for the full year. Favorable currency rates are expected to benefit full year sales growth by a little more than 1% and the impact from acquisitions and divestitures is expected to be neutral on the top line for the full year. Looking at adjusted operating profit margin. In the fourth quarter, we expect to deliver approximately 30 basis points of margin expansion versus the prior year period. And for the full year, we expect adjusted operating profit margin in the range of flat to up 25 basis points year-over-year. For adjusted earnings per share, our fourth quarter guidance is $0.95 to $0.98 per share. And we raised our full year adjusted EPS guidance to $3.82 per share to $3.85 per share. We are now expecting adjusted EPS to grow high single digits for the full year. Finishing up our guidance update with free cash flow conversion. Based on our strong conversion through the first 9 months, we raised our guidance for free cash flow conversion to approximately 100% of GAAP net income. That concludes my prepared remarks. At this point, I will turn the call over to Jennifer for closing remarks.
Jennifer Honeycutt: Thanks, Sameer. In summary, we continue to demonstrate Veralto's ability to successfully navigate dynamic macroeconomic environments with confidence. Our high-performance culture grounded in VES has helped to deliver mid-single-digit core sales growth and double-digit growth in adjusted earnings per share through the first 9 months of 2025. We expect to deliver another quarter of year-over-year growth in the fourth quarter given the essential need for our technology solutions, our durable business model and the secular growth drivers across our end markets. Our financial position continued to strengthen in the third quarter, and we are prudently evaluating opportunities to create shareholder value within our disciplined capital allocation framework. We are excited about the bright future ahead for Veralto, its associates and the opportunities in front of us to help customers solve some of the world's biggest challenges in delivering clean water, safe food and trusted essential goods. That concludes our prepared remarks. And at this time, we are happy to take your questions.
Operator: [Operator Instructions] We'll go first this morning to Deane Dray of RBC Capital Markets.
Deane Dray: Nice job on margins and free cash flow. Really good to see that quality coming through. Just start off with a couple of kind of nuanced questions regarding the macro. Can you clarify about tariffs? You were -- there was a bit of a mismatch on the last quarter on the timing of pricing. So do you feel like you've caught up there and then anything about the government shutdown that you may be seeing on the Water Quality side, any ripple effects?
Sameer Ralhan: Yes, Deane, as you go to look at it on the pricing side, at this point, the teams have taken really good actions from a strategic perspective, really working with the customers on the pricing front, and you started seeing that flowing through the numbers, PQI a little bit more than Water Quality. So at this point, I think on the pricing front, we feel like we're in a good place to help offset the tariff -- any kind of a headwind. But again, pricing is one of the elements. As you know, we've been working on the supply chain, production changes as well to help offset any of the impact on tariffs at this point in a pretty good place, but the environment is volatile, and we're staying on top.
Jennifer Honeycutt: Yes. And I would say relative to your second question, Deane, we watch the government environment closely. At this point, we've really not seen any material impact. So it's steady as she goes. We're running the business, continue to have critical needs for clean water, safe food and trusted essential goods.
Deane Dray: Good to hear. And then just a follow-up on the regions. Any specific comments about China, the pace of demand? There's been -- some of your peers have had some softness there.
Jennifer Honeycutt: Yes. I mean, China is effectively performing as we expected it to. We had an easier comp here relative in Q3. But sequentially, if you look Q2, Q3, we're not really seeing any meaningful changes to our total sales in China. And I would say our team continues to do a great job of executing well in what has really become a more mature market.
Operator: We'll go next now to Andy Kaplowitz at Citi.
Andrew Kaplowitz: So Jennifer, you've had many quarters in a row of strength in your industrial-focused Water Quality business. So could you talk about the durability of that strength into '26, especially given your comments regarding data center-related growth? Can you size that particular business at this point and its impacts that you expect moving forward?
Jennifer Honeycutt: Yes. Data centers for us continues to remain a strategic priority. We're seeing strong double-digit growth here from sales to both existing customers and new builds, mostly driven by the big 5 tech companies. As you know, data centers tend to consume large amounts of water and operators are looking to us to maintain uptime while reducing both water and power consumption. And so our involvement really starts as early as preconstruction with consulting services that we provide to maximize energy efficiency and water conservation, including the design of the water treatment train. So a great opportunity here in data centers themselves. But I would also say, if you zoom out, data centers are just part of the AI value chain. Water treatment that we provide to the market, these technologies play a critical role in chip manufacturing, power generation, mining and other critical raw materials needed to build and operate these data centers. So we play in a broad space here in terms of the entire value chain leading up to data centers. I would say, relative to the opportunity, very big opportunity for us. We'll remain strategically focused on it. It is a smaller portion of our business, but it's got substantial runway for growth going forward.
Andrew Kaplowitz: That's helpful. And then, Sameer, you lowered the '25 margin guidance slightly. Was that all PQI tariff-related pass-through? Or was it the incremental investments you're making? When you look out a bit into '26, would you expect to resume more normal incrementals at least well into the 30s as per your algorithm?
Sameer Ralhan: Yes, Andy. As you kind of look at the full year margin guide, it does reflect the first 9 months of the performance and what we expect for Q4. You're absolutely right. As we kind of look at Q4 at this point, the tariff stuff should be lapping, but there's a little bit of a math impact just from the price and cost side, given we are offsetting the dollar impact. And as you know, in Q4, we typically tend to make some investments as we kind of drive the efficiency set up for the next year. So some of that timing will hit us in Q4 as well. So that's really kind of driving -- but most of that, Andy, as you're absolutely right, will flow from the PQI side than on the Water side. Water has had a great year with a great fall-through, and we expect that to continue. But as you're going to look at the margin side, right, for the full year from an EPS perspective, Andy, as you're going to look down the P&L, we feel really good. There's a little higher assumption on the sales volume, interest expense and some of the below-the-line tax rate should be a benefit to us as well. So that's why we felt confident despite the margin raising the EPS guide.
Operator: We'll go next now to Andrew Buscaglia at BNP Paribas.
Andrew Buscaglia: I just wanted to check on some of your trends were really strong in the quarter, especially in North America, especially PQI within North America. I was surprised to see that. How much of this would you attribute to pull forward? And clearly, I mean, there's a lot of noise into Q4, but what's your sense on sequential trends in PQI, if you're seeing any impact one way or the other from CPG markets?
Jennifer Honeycutt: Yes. We really don't see any meaningful pull forward. We've had exceptionally strong commercial execution in our PQI businesses in North America, particularly from Videojet. And Videojet's performance has not only been on the back of strong commercial execution, but also on the back of the products launched in the last year. So we're seeing strong CIJ and laser sales as well as sales in the secondary packaging. So customers are needing increased case level traceability tied to the Food Safety Act. That's driving some of that strength. And we're just seeing higher share of wallet with existing customer base really driven by new technologies and go-to-market strategies on their part. So it's a great job by our commercial teams executing on our strategic price initiatives as well.
Andrew Buscaglia: Yes. Okay. Okay, great. And in Water Quality, margins there have exceeded my expectations at least this year, and it seems like past investments are paying off. I'm wondering, this kind of was the case last year in PQI, but I'm wondering, going forward, do we need to see more increased investments in either segment? Or is this sort of a sustainable run rate for both segments in terms of margins into 2026?
Sameer Ralhan: Yes, Andrew, let's start with Water Quality comment first. On the Water Quality side, you're absolutely right, great execution by the team as we kind of think on the [ margin ] side, really very disciplined VES-driven execution, and you're seeing the benefit of that on the fall-through side. PQI this year had a little bit of a heavy lift as you kind of think about some of the tariff-related moves we had to make. So you're seeing that. But as you kind of move forward, the way to think about the PQI margin is, the incremental margins as we move forward should be driving that 30% to 35% kind of a fall-through as we laid out in the long-term value creation algorithm. And that kind of translates into 25 to 50 bps of [ OMX ], right? So we expect that. Now there may be some one-off items that we had this year that should be offset next year. So that should benefit. But we'll take all the puts and takes and in February, talk about the '26 guidance.
Operator: We'll go next now to John McNulty with BMO Capital Markets.
John McNulty: Maybe the first one, just in Water. So it seems like on the pricing side, you've kind of been gradually creeping higher. I guess should we continue to see that pricing accelerate as we go into the back of like into 4Q and into the early part of 2026? And then also, can you give us a little bit of color as to if there's much variation between the subdivisions in Water.
Jennifer Honeycutt: John, just to clarify, you're inquiring about the pricing differences in the subdivisions in Water?
John McNulty: That's right. That's right.
Jennifer Honeycutt: Okay. Yes. We don't really delineate there at that level. But what we will say is we've had strong price execution on the back of covering for some anticipated tariff activity. But both price and volume on Water has been equally balanced, which is pretty fantastic in the environment that we're in. Pricing going forward is going to look a lot like our frame that we have talked about in prior calls relative to 100 to 200 basis points of contribution in the growth number coming from price. But having said that, we believe we're going to be in a strong position here to deliver price in the fourth quarter.
John McNulty: Okay. Fair enough. And then maybe just with regard to your cash flow. So you did incredibly well in 3Q. It looks like a solid outlook for 4Q. Your cash is definitely starting to build on the balance sheet. Your leverage is pretty anemic at this point. I guess, do you see opportunities that you think in the next 6 to 9 months, you may be able to actually get across the finish line when it comes to M&A? I know these are hard to time, but your capital efficiency seems like it's starting to maybe drift a little bit lower just given how successful you've been with the cash you've been building up. So maybe a little bit of color on that.
Sameer Ralhan: Yes. Thanks, John, for that. First, on the cash side and the free cash flow side, really proud of all the execution of the teams across our businesses as you kind of think about the quality of the earnings, working capital management and that kind of flowing into the free cash flow. So really great execution is really driving the cash generation. And ultimately, as you said, cash is accumulating nicely on the balance sheet. Now our intention is to deploy that capital to create long-term value. As you've heard from us in the past, look, the pipelines are pretty active. We are very actively looking at the number of opportunities, but we're going to stay disciplined. You know us. We're going to stay true to our framework of market company valuation. So more to come. But as we kind of think about our cash, we'll look at all the opportunities to deploy it to create value for the shareholders.
Operator: We'll go next now to Will Grippin at Barclays.
William Grippin: Just one quick one for me, another one on M&A. I know it's still early, but I would be curious if you have any updates on your recent investment in Emerald Ventures and maybe how some of those early discussions or opportunities being presented to you are looking?
Jennifer Honeycutt: Yes. We remain excited about our partnership with Emerald, and they are vetting a number of technologies in partnership with us that address treatment, monitoring and emerging contaminants. It's steady as she goes here. We continue to work with them on vetting and looking at opportunities there. And we'll let you know when we have something to report.
Operator: We'll go next now to Nathan Jones with Stifel.
Nathan Jones: I guess first question, Jennifer, 6 months ago when tariffs had just been announced, you were pretty excited about the potential for Veralto to use the disruption from tariffs to gain market share. I'm wondering if 6 months later, you can maybe talk about any opportunities that the teams have taken advantage of and how that's played out relative to expectations over the last 6 months?
Jennifer Honeycutt: Yes. I think we're fortunate enough to really get ahead of this relative to our 3-pronged strategy of strategic pricing, supply chain and procurement changes and product line shifts. The product line shifts that we've made are really no regret moves, right? So moving product lines closer to where customers are offsetting tariff impact is something that we have been nimble in executing and VES has helped support do that. Certainly, if you look at price-volume balance here, it would suggest on the volume side that we're holding up well with regard to being able to continue to penetrate markets regionally where localization provides good strategic competitive advantage for us. So as you well know, we've got a warehouse now here in North America for our Trojan business that's headquartered out of Canada. They continue to have great opportunities here in the U.S. And so all of these sort of initiatives that we've taken here have gone the way we thought them to, and we're seeing good opportunity to be closer to our customers and serve them locally.
Nathan Jones: I guess my follow-up is going to be PQI in North America. I mean it's 3.3% of price in PQI. I assume that's obviously skewed to North America given the tariff environment. So there's a pretty heavy pricing in PQI there. Maybe you could just talk a little bit more about any opportunities there are for non-price mitigation actions in PQI. I guess the tariff impact was a little bit higher than I expected. And then does that present an opportunity to maybe mitigate some of the tariff impacts, keep some of the price and have that drop through to margins as we move into 2026?
Jennifer Honeycutt: Yes. I would say relative to PQI in North America, we are seeing great balance between price and volume within our marking and coding segment. And that is largely on the back of Videojet products launched last year in terms of new CIJ and laser products, including secondary packaging products that actually tie to the Food Safety Act that I spoke about earlier. So we're confident in terms of the ongoing sort of demand and stability of these products. And I think what we're seeing here in North America is those products that were newly launched last year are really starting to gain traction. So great execution by our commercial teams. And we will continue to monitor the environment as we go forward.
Operator: We'll go next now to Jacob Levinson at Melius Research.
Jacob Levinson: Just tacking on Andy's question earlier on the data center side of things. Is there any way you could frame for us the content intensity or the opportunity that you would have at ChemTreat or Trojan relative to some of those other types of non-res facilities that they operate in? I'm just trying to get a sense of how a data center would compare to, say, a power plant or a chemical plant. I'm sure they all use a lot of water, but it's not entirely clear which ones would be more intensive for what you sell?
Jennifer Honeycutt: Yes. Thanks for the question, Jake. I think the way to think about this is our commercial teams are really skilled at pivoting where the opportunities are in any given quarter or year. We are seeing double-digit growth in data centers and in applications closely tied to data centers. We don't publicly disclose sales by vertical market, but we can say that we feel very good about our current position and our opportunity to continue to grow double digits in these areas going forward.
Sameer Ralhan: Yes. And Jake, the other way to think about also is as you kind of think about the applications within the data center, there are multiple touch points where our services kind of get into. Think about the data center, some of the key issues are around reducing the water and power consumption, both. So we play a part on both sides of the equation. And also the other part of the data centers is to really think about the uptime, right? Maintaining uptime is critical in the data center infrastructure. We're all kind of learn based on some of the news that you've seen in the last couple of weeks. So as you kind of think about minimizing corrosion, scaling biological growth, there are tons of applications you're going to think about and expertise that is needed in making sure the data centers maintain their uptime and our country team plays a phenomenal role in helping our customers achieve that.
Jacob Levinson: Okay. That's helpful. And just one quick one on TraceGains. It sounds like that deal has been working out nicely for you. Maybe you can just help us understand the puts and takes on the deal as we come out. I think you've had it now for almost a year now. And I think part of the thesis at least was that there was an opportunity maybe to pull in some of your traditional products into that smaller mid-sized CPG segment. So any color there would be helpful.
Jennifer Honeycutt: Yes. We are incredibly happy with TraceGains' performance and the integration here has gone well. They are now at their first year anniversary. And so their growth rate greater than 20%, which has been in line with expectations, will go into the core growth calculus going forward. In terms of opportunity there, both TraceGains and Esko have been working together to integrate the digital backbone here that will create a single source of truth for all stakeholders in both the packaging and the product development workflow. So all of that is on track. We do believe that the CPG market is early in its digitization journey, but there continue to be strong regulatory and consumer safety drivers there, making an attractive place for us. So TraceGains is doing great, strong grower for us on track. We continue to invest in building out that business, but they are growth accretive to the profile.
Operator: We'll go next now to Brian Lee with Goldman Sachs.
Brian Lee: Just a couple more follow-ups. I know we've talked a lot about margins in PQI. But if we think about the cadence, it seems like we're 2 quarters into tariffs hitting margins in this segment. So do we maybe not really fully lap the tariff impact until 2Q of '26? And is that kind of the way to think about when from a modeling perspective, we start to see PQI margins start to expand again year-on-year? And maybe just to add on to that, when you think about pricing in PQI, is that -- I mean, I would assume it's the biggest lever, but are the increases enough to get back to kind of recapture the 100 to 200 basis points of margin decline you've been seeing here at the end of the year? Or do you need productivity gains, mix, other factors to help there as well? Just any sense on the puts and takes there.
Sameer Ralhan: Yes. Brian, a lot of questions to unpack there. So let's go one by one, right? First, I think your instinct is right as we're going to think about when we start lapping up the impact from the tariff side from the -- all the actions perspective, you're going to start seeing in the second quarter. I think that's a good way to think about that impact. But overall, as you kind of think about the margin expansion, look, price is one of the impacts. We look at price versus the raw material costs and that we call it the [ PPE kind ] of that expansion all the time. That is one of the -- definitely one of the factors that we're going to move into next year. But productivity is part of it, right? As we're going to think about the volumes that are coming through, they should be falling through at 30% to 35% kind of a range. That itself should give us 25 to 50 bps kind of a margin expansion as you're going to start looking at things moving forward. But there are some one-off things as we kind of talked about the tariffs and the actions and the costs that come with mitigating those. Some of those -- one of those -- one-off things like that should be offsetting next year as well. So lots of moving parts, but we feel really good about where the business is, the new products that come in, the acceptance we're seeing from the customers and the volume gains that you've seen. So really positive as we kind of think about our opportunity to expand the margins -- to continue to expand the margins, I should say. So you're going to see us in February kind of talking about that in more detail.
Operator: We'll go next now to Saree Boroditsky at Jefferies.
Jae Hyun Ko: This is James on for Saree. I wanted to look at some reason for Water Quality. I think high-growth markets kind of underperformed other regions over the past few quarters, but it outperformed this quarter. So what are kind of key factors kind of driving growth in these regions? And how do you see this trajectory like going forward for the next several quarters?
Jennifer Honeycutt: Yes. I mean I think we've had good strong growth really contributing from our high-growth markets. Certainly, China is no longer a drag here for us. First time in several quarters that we've seen growth from both of our segments there in China, and the team is doing a great job to execute commercially. We see continued strong growth here in Latin America. And I would say there's real upside and double-digit growth that we're seeing also from India and the Middle East. India on the back of a rapidly growing middle class, lots of infrastructure development there and so on. India still is a relatively small part of our overall enterprise as a percent of sales but rapidly growing. And we've got a team on the ground there who's driving some great execution, both for our Water Quality and for PQI. In the Middle East, it's -- everyone knows that they have considerable challenges with water and energy utilization and so on and so forth. So there's great opportunities there as they look to drive recycle, reclaim water as they focus on how to make the water that they do have last longer, recycle more of it and so on. So we think the secular drivers here for our high-growth markets are going to continue to remain strong. And certainly, the focus that we've had on executing commercially in those target regions has gone well.
Jae Hyun Ko: Got it. Great color and great to hear that. And kind of moving on to recurring revenue, it kind of grew strongly like high single digit in the quarter. Can you kind of discuss the drivers behind this growth? And do you expect recurring revenue to continue to outpace equipment sales growth going forward?
Jennifer Honeycutt: Yes. I mean I think you've got to look at the relationship between equipment and consumables or recurring revenue over the cycle. They're going to be modest changes in which is the faster grower. But I would say in the main, we've got strong growth from both right now as in the case of PQI on our coding and marking business, strong printer placements and the inks and solvents and consumables to go with them. Same thing that we see on the Water side, great instrument placement as well as the consumables that go with them. So we've got a very sticky business, as you probably know, with regard to consumables and their relationship to the hardware that they support. I would also say we're starting to see some higher contributions from our software-based businesses. So if you look at our packaging color side, where you're starting to see our [ SaaS ] and annual revenue start clocking in here with both TraceGains and Esko, those are starting to be meaningful contributors as well.
Sameer Ralhan: The only one more point I would add is as you're going to think about our instrument business as well, right, I mean there's a finite life, and that is a reoccuring business as well. So as you're going to think about that growth from the growth perspective, so that's nice add on as we're going to continue to move forward.
Operator: We'll go next now to Bobby Zolper of Raymond James.
Robert Zolper: Were there any variances relative to your expectations in Water Quality pricing?
Sameer Ralhan: No. I think, look, pricing in general has been along the expectations, Bobby. As you recall, when we -- the tariff environment started earlier this year, we said we're going to be very strategic with respect to our pricing versus one-off items being added tied to tariffs. So we work very closely with our customers to make sure -- ultimately, the goal here is to create value through a combination of price and volume, and that's kind of reflected as you kind of think about the overall core growth, both in the Water Quality and PQI side as well. So we saw a little bit higher pricing in PQI versus Water, but ultimately, it's a combination of both that creates long-term value, price and volume.
Robert Zolper: Okay. Understood. And what are your thoughts on the attractiveness of water metering as a platform?
Jennifer Honeycutt: Yes. I mean I would say we look at the entire value stream of where water is used, analyzed and consumed. Metering is part of that value chain. We actually are in the metering business today with magmeters in our McCrometer business, smaller overall portion of our revenue profile, but we're actively in metering today.
Operator: We'll go next now to Andrew Krill of Deutsche Bank.
Andrew Krill: I don't think this was explicitly touched on. But for 4Q, I just was hoping you could give some segment level color on margin expectations, maybe sequentially is the best way to do that? And also anything on core growth for the fourth quarter by segment? I know you said, I think both around 5% for the full year, but just wondering if any big differences for 4Q.
Sameer Ralhan: Thanks, Andrew. There are 2 distinct questions over there. So let me start with the margins first. For the fourth quarter, we expect the margins in aggregate to be around 30 basis points. Both segments should be driving the year-over-year expansion in the margin side. You're going to see that. Water Quality, just driven by continued disciplined execution. Frankly, they've done a phenomenal job in the first 9 months, and we expect that to continue in Q4. PQI should start benefiting from the reduced tariff-related costs and some of the operating efficiencies that we've been driving. So you're going to see that, but PQI should be on a year-over-year basis up as well. But in aggregate, we should be in the 30 basis points kind of a [ ZIP code ] on the margin side. As far as the core growth, again, as you know, we don't give guidance by segment, but both segments are lined up pretty nicely and should be contributing to the growth that we've laid out. And Andrew, as you know, we said core growth around low single digits. But just to highlight and reiterate what we said in the prepared remarks, we do have 3 less shipping days. So if you pro forma for that, the core growth across the portfolio is in the solid mid-single digits range.
Andrew Krill: Great. Very helpful. And then going back to cash conversion, again, very impressive in the quarter. Could you expand a little on like what went well? And as we look forward, I think in the past, you said 1Q and 3Q often go below 100% conversion as you do your cash interest payments. Just -- is there a chance maybe like you can hold the line more consistently going forward? Or should we still be expecting a more normal outcome of below 100% in 1Q and 3Q?
Sameer Ralhan: Yes, Andrew. As you kind of look at the free cash flow, I think it makes sense to look at it on an annual basis because interest payments are always going to be heavy in Q1. There's always a meaningful comp in Q1 payout as well. And then in Q3, we're going to have a heavy interest payment as well. That's just the architecture of how the -- our capital structure is. It's less about the business. Underlying businesses when you look at, Andrew, the cash flow generation is very consistent, very strong, high-quality earnings. So I think that's the way to look at it.
Ryan Taylor: Thanks, Andrew, and thanks for everyone that joined us on the call today. This is Ryan Taylor. This concludes the Q&A portion of our call. We appreciate everybody's engagement and joining on the call today, and we look forward to talking to you next time. Thank you.
Operator: Thank you, Mr. Taylor. Again, ladies and gentlemen, that will conclude Veralto Corporation's Third Quarter 2025 Earnings Conference Call. Again, thanks so much for joining us, everyone, and we wish you all a great day. Goodbye.